Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to the DZS Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]  At this time I would like to turn the conference over to Mr. Ted Moreau, Vice President of Investor Relations. Sir, please begin.
Ted Moreau: Thank you, Howard, and welcome to the DZS fourth quarter 2022 earnings conference call. Joining me today to discuss our results are DZS President and CEO, Charlie Vogt, and CFO, Misty Kawecki. Chief Product Officer, Miguel Alonso is also on the call to participate in the Q&A session. After market closed today, we published fourth quarter and full year 2022 earnings along with the new investor presentation to provide shareholders, prospective shareholders and analysts with market insights, product, business and financial updates, as well as forward-looking information. Our fourth quarter investor presentation will be referenced throughout today’s earnings call which you can follow along with Charlie and Misty’s commentary. On this call, we will provide projections and other forward-looking statements regarding future events or the future financial performance of the company. The company cautions you that such statements are only current expectations and actual events or results may differ materially. So please refer to documents that the company files with the SEC, including its most recent 10-Q and 10-K reports as well as being available on the Investor Relations section of our website. These documents identify important risk factors that could cause actual results to differ materially from those contained in the company’s projections of forward-looking statements. Please note that unless otherwise indicated, the financial metrics being provided to you on this call are determined on a non-GAAP basis. These items together with corresponding GAAP numbers and the reconciliation to GAAP are contained in today’s earning press release. We will be attending the tradeshow in San Diego in March and look forward to meeting to investors at that event. Additionally please save Wednesday May 10 on your calendar for our 2023 Investor Day at our headquarters in Dallas.  I now have the pleasure to turn the call over to Charlie.
Charles Vogt: Thank you, Ted, and good afternoon everyone. As an inspiring start to 2023 DZS recently hosted our inaugural horizons Innovation and Technology Summit. A subset of Horizons guests and speakers included luminary leaders from Broadcom, Deutsche Telekom, TELUS, Lumen, Windstream, Liberty, i3 broadband, NCTC, Dell, Mavenir and Fabrinet. Horizons reflected strong validation of our vision go to market strategy and technology roadmap, aligned with our market defining access optical and cloud controlled software solutions. Also attending a Horizon summit, where financial analysts from Stiefel, Needham, Northland and Woodruff. Horizons enabled several key customers and partners to share their vision, insights and alignment with DZS. During Horizons, we unveiled several new technology milestones and product launches, including two new software platforms; Extreme Access, and Experienced Cloud. Extreme Access is a multi vendor orchestration software platform designed to automate network functions and accelerate the on-boarding of new network elements and new services. Experienced Cloud delivers end to end network and subscriber visibility and analytics, including actionable insights from subscriber and network data through our service assurance, and Wi-Fi management software solutions. DZS has taken a platform approach to designing our next generation access edge OLTs, whereby service providers can uniquely design deploy and support G-PON, XGS-PON pon 25 and 50 Gigbitt pon from the same universal system. Our velocity OLT portfolio, including our new velocity V6 is gaining momentum with many tier one and tier two service providers around the world. Our next generation velocity V6 is a future proof OLT system featuring a non blocking architecture 800 gigabits per second of capacity per slot in support of 50 and eventually 100 gigabit PON for last mile fiber the home access networks. Market research firms estimate that fiber base PON for the telecom segment alone will reach $12 billion, not including China of annual CapEx spending by 2027. Horizons also highlighted the enhancements of our optical edge and mobile transport portfolio. We recently announced the availability of our Sabre 4400 which delivers up to 400 gigabits per second per wavelength over extended distances of up to 100 kilometers without amplification in an environmentally hardened modular compact form factor that can also support Rotom capabilities. We also announced enhancements to our C 1216 and M 4000. Mobile transport as well as our in building POE plus Ethernet switches. While we have secured many new customers over the past two years, most of which are emerging fibre over builders, utility cooperatives and municipalities. We remain committed and focused on securing large scale multinational service providers. We are making good progress with many service providers around the world and especially in North America and Western Europe reminding investors that service providers especially those of scale and complexity, have a rigorous engagement process that could take 12 to 18 months before full scale deployment. We remain committed to this journey because of the long term value and return on investment potential in the form of recurring and reoccurring revenue and profitability. I am pleased to share the DZS has been awarded two new marquee service provider design wins, validating the innovative investments we have made across our access edge, specifically our velocity OLT portfolio. Europe’s largest service provider recently selected DZS as velocity V6 to be part of their large scale multiyear fiber to home project, which will also be including the replacement of their existing Huawei OLTs. This is an important milestone for DZS as this multinational service provider will be leveraging our end to end access edge and our cloud controlled service assurance and in home Wi-Fi software management. In addition, Korea Telecom, a longtime valued partner of DZS and South Korea’s largest six wireline network operator also selected our velocity OLT portfolio for their next phase PON rollout. We’re equally encouraged with the momentum and progress we’re making with our next generation optical edge Saber 4400, which has received numerous technology accolades, and has been validated by recent design wins. Well, we’re optimistic about our 2023 sales prospects and financial outlook our Q4 and full year 2022 financial results were not indicative of the innovation, customer alignment design wins nor the company’s overall execution and operational progress. As such our 2022 financial performance was limited in our ability to maximize revenue conversion. Q4 revenue of $100 million would have been $7 million higher, or 10% growth year-over-year on a constant currency basis, and full year 2022 revenue of $376 million would have been $31 million higher or 16% growth year-over-year on a constant currency basis.  Additionally, COVID locked down spanning some of our manufacturing partners, and the transition from our Seminole Florida facility to Fabrinet as well as revenue acceptance timing represented the revenue and gross margins shortfall compared to fourth quarter guidance. I’m pleased to report that during the fourth quarter, we did successfully complete the transfer of our Seminole Florida facility to Fabrinet. This partnership is expected to reduce cost and improve our global reach, scalability and product margins. Our investments in people, product and systems over the past two and a half years has enabled us to build a sustainable foundation for future revenue growth and profitability.  Since Q3, 2020, we have booked orders exceeding $1 billion, recorded revenue of $909 million, increased our remaining performance obligations including backlog and deferred revenue by over three times to $321 million. We are confident that the technology sales and marketing investments made in 2022 will result in new access optical and cloud software project wins in 2023 appreciating that we exited 2022 with the most active POC and trial environment since I joined the company in mid 2020. 2022 also represented the most stable employee retention rates since I joined DCS validated that we have locked in the team aligned with our vision, strategy and culture, giving us the best opportunity to secure strategic projects with more key customers and to elevate our growth and profitability. As service providers continue to upgrade their legacy DSL and sub one gigabit broadband networks many operators are being architecturally thoughtful with their network design ensuring that the technology investments they are making today will allow them to future proof their net work for tomorrow, enabling them to compete with a lower total cost of ownership and with a network that is automated and software defined. DZS is among a small number of companies with the access optical and cloud software technology, customer footprint and the resources required to grow and take share in the current Fiber PON investment cycle. With an install base of approximately 60,000 OLT systems, 20 million subscriber devices 35,000 mobile and optical transport platforms and 70 million cloud software subscribers spanning more than 400 active customers we entered 2023 better position than ever before. Over the next five years, our access and subscriber edge install base will continue to undergo an upgrade cycle from DSL and G-PON to x-G-PON. As part of our technology investment thesis, we expect that by 2025, large and medium sized service providers will begin upgrading their SGS PON network to 50 gigabit PON. Our next generation velocity OLT portfolio is uniquely designed to support 50 and up to 100 gigabit PON enabling service providers to upgrade from X-GS-PON to 50 gigabit PON without an OLT systems replacement seamlessly upgrading just the PON modules. We also expect that our DSL Express software customers will continue to upgrade to PON express as their subscribers migrate from DSL to fiber. In addition, our in home Wi-Fi management software platform cloud check will add layers of new functionality in 2023, including cyber security protection, and with expanding support for Wi-Fi and IoT devices. Our sales pipeline for our cloud software portfolio continues to expand and we believe our collective software platforms will deliver incremental and favorable results during the second half of 2023 and into 2024. Despite the macroeconomic recessionary fears broadband has become a utility like service that we believe requires service providers with scale and the financial resiliency to continue to invest in their fixed and mobile networks over the next decade, ensuring they remain competitively positioned to pursue the lucrative in home and on the go broadband market. We continue to systematically balanced quarterly performance with the operational and financial requirements designed to deliver top line revenue growth, margin expansion and net operating income aligned with the service providers that have the scale and the financial means to deliver reoccurring and reoccurring sustainability for DZS. In closing, we remain focused on our five growth pillars. First, the 10 gigabit XGS-PON in 5G upgrade cycle. Second, market share capture in North America and Western Europe. Third, the pursuit of numerous Chinese cap and replacement opportunities appreciating that approximately 50% of the access networking install base and associated subscriber devices outside of China have been historically controlled by Huawei and other China based vendors. Fourth, our cloud software expansion opportunity with our existing and prospective customers. And finally, the emergence of [Indiscernible] which continues to gain acceptance and momentum around the world.  With that, I’ll turn the call over you Misty. 
Misty Kawecki: Thank you, Charlie and good afternoon, everyone. If you are following along in the investor deck, I will start on slide 34. As Charlie indicated, we conclude 2022 well-positioned to capitalize on several opportunities. Throughout the past year, we navigated several headwinds that inhibited our recognition of the revenue we expected. These headwinds include COVID lockdown, supply chain component availability and foreign currency volatility. We reported fourth quarter orders as $90 million, resulting in a book to bill of 0.9 for the quarter that we still exited 2022 with $321 million RPOs, an increase of 37% from the $234 million at the end of 2021. For the past two years, we have experienced elevated booked to bill ratios relative to historical levels, as many customers placed orders further into the future to ensure delivery dates in response to the challenging supply chain landscape. As a result, combined with the strong demand environment, our full year 2022 book to bill was greater than one. As broader supply chain conditions gradually improve we are seeing customers begin to revert to a more normalized ordering patterns and we anticipate this normalization dynamic to continue throughout 2023. For the fourth quarter of 2022 we reported revenue of $100 million, an increase of 2% year-over-year or 10% on a constant currency basis. Though we were below our guidance range, this was our second consecutive quarter exceeding $100 million in revenue. Revenue was negatively impacted by COVID related lockdowns in the Asia region, our manufacturing transition to Fabrinet and by shipment timing in North America limiting our ability to deliver products as expected.  Turning to revenue by product technology, our access and optical networking revenue represented 88% of total Q4 revenue, or $88 million, and our software and services revenue was 12% of total revenue or $12 million. Software and services revenue declined sequentially due to project timing. By geographic mix during the fourth quarter revenue from the Americas region increased 3% year-over-year to $28 million. Over the past two years, we’ve benefited from increased customer capture in the region while supply chain shipment disruption impacted Q4 revenue. Revenue from EMEA increased 44% year-over-year to $21 million due to success with new customer capture in the region along with the contribution from our expanded software portfolio. Revenue from Asia decreased 9% year-over-year to $51 million, as revenue from the region was impacted by foreign currency exchange rates, and by COVID locked down to disrupted deliveries later in the quarter. One customer from the Asia geographic region represented 10% or more of total revenue for the quarter and for the full year. Our Q4 adjusted gross margin of 31% was impacted year-over-year by foreign currency and elevated supply chain costs partially offset by product mix improvements. Excluding foreign currency changes and supply chain costs our Q4 adjusted gross margin would have been over 700 basis points higher and significantly closer to our near term target gross margin model. Q4 gross margin also reflects the costs associated with both our internal manufacturing operations in Florida and the new outsourcing relationship with Fabrinet.  By the end of the fourth quarter, we completed phase one of our Fabrinet manufacturing transition of products that shipped into the North America and EMEA regions. As a reminder, the expected savings from this initial scope of Fabrinet falls within the operational execution margin improvement category of our target gross margin model that we initially shared during our Q2, 2021 earnings report. This category has been expected to provide 450 to 600 basis points in gross margin improvement, and we see opportunity to begin recognizing a portion of the Fabrinet savings in the second half of 2023. Fourth quarter adjusted operating expenses were $34 million, compared with $30 million in Q4 of 2021. The year-over-year increase reflects our recently acquired assets and continued investments in sales and marketing to fuel growth. Our adjusted EBITDA was a loss of $3 million during Q4 of 2022 compared to an EBITDA gain of $3 million in Q4, 2021 and our non-GAAP EPS was a loss of $0.10 compared to an EPS of $0.8 in Q4 2021. The year-over-year decline was the result of lower gross margins related to elevated supply chain costs and foreign currency headwinds. For the full year 2022, we had record revenue of $376 million increasing 7% year-over-year. Full year revenue would have been $31 million higher on a constant currency basis or 16% growth year-over-year. Annual revenue growth was led by the Americas and EMEA regions, which are strategic growth areas for DZS. Revenue from Asia, which was 50% of 2022 revenue also increased 6%. We strengthened our software portfolio via the ASIA asset acquisition, which increased the percentage of revenue from software and services to 11% in 2022 from 6% in 2021. Full year adjusted gross margin of 32% was impacted by foreign currency headwinds, elevated freight and logistics costs and expedite fees. Excluding these factors and adjusting for constant currency our 2022 adjusted gross margin would have been over 700 basis points higher. We believe these headwinds are temporary in nature. Turning to slide 38 in the investor presentations, we anticipate a meaningful improvement in our gross margin profile weighted towards the second half. We expect we will recognize a more favorable product and customer mix, the benefited new product introductions to recognize the more favorable margin and the benefits of our manufacturing transfer to Fabrinet. 2022 operating expenses increased by $12 million to $123 million, reflecting half of the year of the ASSIA expenses and increased investments in sales and marketing. We reported an adjusted EBITDA loss of $3 million compared with EBITDA of $11 million in 2021. Non-GAAP EPS was a loss of $0.15 per share, compared with $0.32 in 2021. Turning to the balance sheet, we ended the quarter with $38 million in cash. We had $4 million drawn on our revolving credit facility along with $23 million of debt as part of the five year term loan to fund the ASSIA acquisition. As a result of foreign currency impacts to our financial results in 2022. We amended the covenants associated with our JP Morgan loan. While we have confidence in executing our plan to ensure loan covenant compliance as you may understand with recent foreign currency volatility, there is a risk of non compliance in the next 12 months, which requires us to reclassify the long term debt into current liabilities for the year in 2022 balance sheet. The amendment to our loan agreement is being filed in an 8-K today. Day sales outstanding was 139 days in Q4 compared with 81 days in the year ago period. Current DSOs were skewed by a large tier one customer with milestone payments and our current DSO levels should be viewed as temporary while we revert back to more normal collection levels as 2023 progresses. Inventory increased $22 million year-over-year to $79 million with the increase associated with challenging subcomponent availability over the past year combined with rising customer demand. Annualized inventory churns were 3.4 times during the fourth quarter compared with 4.5 times a year ago. Our Q1 guidance reflects the anticipated challenges in some component availability and the timing of customer deployment schedules. We are also applying an average foreign currency rate from the month of December. For the first quarter we are guiding revenue to a range of $90 million to $100 million, which equates to 23% growth year-over-year at the midpoint. Adjusted gross margin and a range from 33% to 35%, adjusted operating expenses between $33 million and $35 million in our adjusted EBITDA between a loss of $3 million and breakeven. Our full year 2023 guidance is revenue in a range of $420 million to $450 million which equates to 16% growth at the midpoint. We expect revenue in the second half of 2023 to ramp compared to the first half due to project deployment timing and product availability. Adjusted gross margins of 36% to 38% while continuing to target 40% exiting the year, adjusted operating expenses between $125 million and $135 million as we focus on operational discipline in 2023. The increase in our 2023 operating expenses relative to 2022 reflects the full year of former ASSIA employees and related costs, essentially keeping our pro forma operating expenses flat. And our full year adjusted EBITDA guidance is between $25 million and $40 million. Our financial assumptions take into account our backlog, full year software revenue from our ASSIA acquisition and anticipated supply chain and foreign currency exchange dynamics. I’d also like to emphasize how well DZS is positioned to capture, share and disrupt the competitive landscape as there a strong enthusiasm and excitement internally and across our customer base. I’d now like to hand the call over to Howard to facilitate the Q&A session. 
Operator: [Operator Instructions] Our first question or comment comes from the line of [Indiscernible] from Stifel.
Unidentified Analyst: Thank you. And good afternoon. This is Jeremy calling for Tore. I guess first, Charlie, given the counter ‘23 outlook that you gave us can you just helped us understand what’s giving that competence and that outlook. It sounds like there’s a lot of new programs being launched, and different deployments. But do you also expect maybe the book to build to kind of inflect at some point during the year, just help us understand that a little bit more. Thank you.
Charles Vogt: Thank you. Well, as we highlighted, we exited the year with $321 million of a backlog. So that certainly layers into the year. I also mentioned that we existed the year with the most POC and trial activity company is ever endorsed, at least during my tenure. So there’s a tremendous amount of project activity. The activity in North America and Western Europe not giving up what we have going on in Middle East, which is really exciting has elevated our pipeline, and certainly has given us a significant competence for the full year. I think those are the main attributes. We obviously have launched three new product platforms which the industry as a whole is really excited about I mean, the V6 which complements are V2 and V14 is gaining a lot of traction. I mentioned in my opening comments that the largest service provider in Western Europe has selected the V6 as part of their seven year build out of their fiber base network, including replacing a portion of their Huawei OLTs and the new Sabre 4400s really exciting. I mean, if you look at the bid mile projects, just here in the United States, and the alignment of the Sabre 4400, to a lot of those existing customers it certainly has the team excited, and the visibility that we have today is much greater than what we had a year ago. As it relates to your question about bookings and booked a bill, we’re certainly doing everything we can to take as much business off the street whenever we can. And so there is nothing magic about that. I think what’s unique about these yes is we are viewed as a disruptor in the space. We were entering the space with the least amount of market share. And so our ability to disrupt and take share as a percentage should be viewed greater than us managing and forming an existing install base. So I expect that as we progress in ‘23 and into 2024, that our ability to increase our revenue conversion should be greater than what the market is facing it.
Unidentified Analyst: Great, thank you. That’s very helpful. And as my follow up, maybe Misty, if you could give us some more insight into what’s driving the gross margin expansion towards the back half of next year. I’m sorry, the back of this year exiting at 40%. what maybe you can rank order some of the contributions that are whether it’s Fabrinet whether it’s increased software sales and as a slight add on in that, what kind of software expectations you expect as part of that 420 to 450 number. Thank you.
Misty Kawecki: So, great question. Thank you. I think it’s fair to say I should probably set the stage that we did not assume that there would be any improvements in some of our recent headwinds. And so we’ve remained neutral on those particular categories. We do expect some uplift from the new products that Charlie mentioned earlier today that we’ve seen a lot of momentum in the market. And a lot of demand from those recently announced products where we expect those to ship in the second half of the year. We are also expecting to see some software expansion as we have acquired ASSIA now just over six months ago, and a significant amount of training with our sales teams. And so we expect to see software as a percentage of revenue to slightly increase year-over-year. I think we’re at 11% in 2022 to 14%. So as a percentage, and as we grow, it’ll be fairly steady on a percentage basis, but will obviously increase in pure dollars. And then of course, our Fabrinet transition will contribute to improved margins, as we look to scale and leverage their buying power. Sorry, I just wanted to correct that software as a percentage of service -- software and services that was 11% in 2022. We expect it to increase to closer to 14% in 2023. 
Operator: Thank you. Our next question or comment comes from the line of Ryan Koontz from Needham & Company. Mr. Koontz your line is now open. 
Ryan Koontz: Yes. Thanks for question. I wanted clarification there. You mentioned first there was some timing issues around software and services. Can you tell me if that was around, like install services or delivery of product and any color there will be helpful around timing, that some of that revenue recognition from customer acceptance, maybe it’d be helpful. Thanks.
Charles Vogt: Yes. The customer acceptance wasn’t around software and services, it was just the timing of our ability to recognize revenue. I mean, we had one customer that literally Ryan, we had product on the dock. And based on the acceptance criteria in that country and with that customer, we weren’t able to get acceptance. We had some product that was stuck on the water. So the revenue recognition timing had a lot to do with that, as well as just timing that occurred from some of the COVID lockdowns in November that really began to impact us in middle of December. And then, of course, we completely lifted and shifted the entire Seminole manufacturing facility in the quarter. I mean, we had to pick a quarter, we chose Q4. We did get it done, but there was certainly some logistical challenges that had some impact on our ability things especially at the end of December.
Ryan Koontz: Got it. Thanks. Thanks, Charlie. And on the this new European win. Can you tell me how many other vendors are there? Can I assume you maybe you’re a third player in this large account.
Charles Vogt: There’s only going to be two. So I can’t speak to the other supplier. But there’s only going to be two and DZS is one of the two. 
Operator: Thank you. [Operator Instructions] Our next question or comment comes from the line of Paul Silverstein from Cowan & Company. Mr. Silverstein, your line is now open. 
Paul Silverstein: Thank you. Charlie was any of the near term weakness due to delays and carrier projects related to macro inability to access capital markets, debt or equity? Anything of that nature? And more importantly, is there any signs of impact as you look farther, longer term? 
Charles Vogt: So there was nothing in the quarter from macroeconomics that had any impact on the revenue conversion. And for us today, we’re not seeing any of our existing customers, or our prospective customers that were in final let’s call it POCs and trials that are giving us any indication that the macro, the broader macro conditions are going to impact their buying patterns in ‘23. I mean I mentioned it in my opening remarks, and I hope everybody appreciates it. I mean, there are certainly things that we don’t have full visibility to. I mean, there are service providers that are in boardrooms and meetings, just like we are deciding on what their capital expenditures going to be for ‘23. We have not to any large extent received any feedback that would counter what we’re profiling for the year.
Paul Silverstein: So deals in what you’re involved with not necessarily deals that have been awarded deals that are up for award, deals that have been awarded, you haven’t been notified of any cancellations of those. I appreciate that you don’t see all the deals that are out there throughout the world. But the ones who’ve been involved within both awards, and prior to award, you haven’t seen any cancellations or appreciable cancellations.
Charles Vogt: We have not received any and we have had no indication that any of the awards that we were in process of being awarded that is going to be slowed or canceled. So we’ve been pretty fortunate in that regards. 
Miguel Alonso: I think one of the things I will I will add one of the things that we’re being cautious about and I think as we sort of designed our outlook for this year is just looking at any slippage in the current backlog that we have. So if there’s any concern that I’d say I’d offer up is, okay, we’ve got $320 million of backlog. We have a firm schedule today on that. Independent of us do customers elect to push any of that out into a further quarter. I mean, that’s something we haven’t received today, but it is something that we’re keeping a close eye on.
Paul Silverstein: Charlie the language you use as you’re talking about slippage of a quarter to not slippage of yours.
Charles Vogt: Correct.
Paul Silverstein: When you missed the clarification, I’m sure I must have misheard, but with respect to the expected benefit from Fabrinet, I thought I heard you quantify it. And I think I missed the number. Can you just repeat what that was? If in fact, you did quantify it? 
Misty Kawecki: I did not quantify Fabrinet specifically. I said that it fell within our margin improvement model, it was 450 to 600 basis points for the overall category which includes – go ahead. Yes. That includes Fabrinet, as well as some of the other manufacturing transitions that have occurred previously, and other operational improvements. But Fabrinet is certainly a contributing factor to that overall improvement category.
Paul Silverstein: Got it. I didn’t think it was the 450. But I’ve heard the [Indiscernible] it is accelerated through the rest of it. Got it. Okay. appreciate that clarification. Charlie, when you look out over the next one to three years, what are the opportunities for great itself side and what are the greatest risks on the downside?
Charles Vogt: I think the greatest upside for us is taking share in North America and Western Europe. I mean, we’ve got a really solid footing in the markets we want to participate in Asia, I mean, we have won two pretty substantial projects in India, with relatively good margins.  So we’re encouraged with the opportunity that we have in a kind of country, that’s pretty anti-China, and we are leaning in there. But where I think we have the most upside is with the large tier one and tier two operators in North American western Europe, which we’re aggressively pursuing and I think we have the best opportunity to be rewarded, just because we have a very differentiated a wealthy and mid mile, Metro optical portfolio that I think, is disrupting the space. I mean I think one of the things that it’s important for analysts and shareholders to really appreciate is what we’ve done over the last, let’s call it 15 to 18 months is bring to market and multi portfolio that outside of Nokia our traditional peers simply don’t have and what I mean by that is, it’s a true systems architecture that not only accommodates today’s GPON and XGS-PON but we were very thoughtful in launching a product that can support 25 and 50 gig without those operators having to completely replace those OLTs were in a lot of cases, what’s being deployed by some of our peers in order for them to move beyond XGS-PON they’ve got to completely replace those systems. And I think that’s where the upside is for us. I think that’s where a lot of the large tier one and tier twos are seeing an opportunity to start deploying us today for XGS-PON and not have to worry about a forklift upgrade for let’s call it the next 15 years. 
Paul Silverstein: One last one, for me. the large carry reference of large when are you expecting revenue this year and what is potential peak annual revenue? And on a related but different topic with the launch of the 4000 I think that’s midyear, are you expecting revenue? What’s the potential revenue in the next year or two from that product? 
Charles Vogt: So we’re expecting to get, we’re expecting to receive orders in the first half, from the new Western European operator, for the next 12 months of revenue conversion. We don’t have anything today baked into our 2023 plan. There is an opportunity for us to potentially recognize some revenue in Q4 just based on the time it’s going to take for us to get through the integration phase and get through the pilot phase, which being realistic that’s at least six, six to nine months. So there is there is a window and Q4 but, for us, we’re really counting on that particular opportunity to scale in 2024. And as it relates to the Sabre 4400 You’re right, that that product will start shipping in Q1 but most of the projects that were really leaning in on our second half of this year. And I won’t answer the question on how big the revenue is for us.
Operator: Thank you. I’m showing no additional questions in the queue at this time. Ladies and gentlemen, I’d like to thank you for participating in today’s conference call. This concludes the program. You may now disconnect. Everyone have a wonderful day.